Operator: Welcome to Ionis Pharmaceuticals Third Quarter 2017 Financial Results Conference Call. As a reminder, this call is being recorded. Leading the call today from Ionis is Dr. Stan Crooke, Ionis’ Chairman and CEO. Dr. Crooke, please begin.
Dr. Stan Crooke: Good morning, and thanks, everyone, for joining us on today’s call to discuss our third quarter 2017 financial results and recent business highlights. In the past year -- in the past week, we’ve reported substantial progress with inotersen. We’ve provided more detailed data from a Phase 3 study that demonstrated strong evidence of benefit in a well-defined manageable safety profile. Yesterday, we announced we had filed an NDA, an important accomplishment that follows the MAA we filed last week. We believe that meeting the last 2017 filing date for an EU accelerated assessment provides an additional competitive advantage. We’ve announced that we are initiating our expanded access program and that our commercial team has made substantial strides in preparing to launch inotersen. We’ve also had an opportunity to spend a great deal of time with TTR amyloidosis investigators and patients in the last week, and we’re gratified by the uniform enthusiasm displayed for inotersen. We’re optimistic that inotersen will achieve a significant fraction of the market for ATTR after approval and be not only a medical, but also a significant commercial success. What I find particularly exciting is that inotersen is only one part of our story. SPINRAZA sales to date suggests its launch will be one of the most successful rare disease drug launches in history. Inotersen is progressing through registration for STF, a serious disease for which there is no current therapy and no therapy on the horizon. The rest of our pipeline is also progressing nicely. We’re profitable with a pro forma operating income of $90 million, and we project steadily growing revenue in the coming years. We have cash of more than $1 billion and are on track to meet or potential exceed our financial values. In short, we’re in a very strong position. As you likely have already seen this morning, we announced a planned set of transitions in our management structure. This transition demonstrates that our succession planning has indeed been successful. Starting on January 15th of next year, Lynne Parshall, who’s been with Ionis for 27 years, will become a Strategic Adviser to Ionis. She’ll remember -- she’ll remain a member of the Board of Directors of Ionis and Akcea. And in her new role, Lynne will continue to be involved in strategic planning, business development, regulatory and financing, and will play a significant role in our important relationships with Biogen and Akcea. In short, she’ll focus on the areas where she has always brought the most value and the areas that I think the company most needs are going forward. For nearly 30 years, Lynne and I have worked together to navigate the course for Ionis. So as we progressed to an even more substantial success, I’m pleased that Lynne will continue to play the vital strategic role she’s always played, while also being able to devote more time to her family. And I want to personally thank Lynne for the many years of hard work and putting up with me through the good times and bad and being my very close friend. Brett Monia, who is currently Senior Vice President of Drug Discovery, will become Chief Operating Officer, reporting to me. Brett is one of the founding members of the Ionis team, and his leadership has been instrumental to the productivity of our drug discovery program. Brett has played a key role in leading the discovery and development of inotersen. He’s also been instrumental in achieving and managing our many partnerships. Additionally, he’s contributed to our decision-making and building of a productive culture at Ionis. The board and I are confident that Brett is the ideal choice to be Chief Operating Officer and is fully prepared to assume his new responsibilities and that this step is an important step in assuring long-term continuity of the leadership and approach at Ionis. Now, let me introduce the members of the management team who will be joining us on today’s call. Lynne Parshall, Chief Operating Officer; Sarah Boyce, Chief Business Officer; Beth Hougen, Chief Financial Officer; and Brett Monia, Senior Vice President, Drug Discovery, will be available to answer questions. Wade Walke, Vice President, Corporate Communications and Investor Relations. And now Wade, would you please read our forward-looking language statement.
Wade Walke: Thanks, Stan. A reminder to everyone that this conference call includes forward-looking statements regarding the financial outlook for Ionis, Ionis’ business, the business of Akcea Therapeutics and the therapeutic and commercial potential of Ionis’ technologies and products in development. Any statement describing Ionis’ goals, expectations, financial or other projections, intentions or beliefs, including the commercial potential of SPINRAZA, inotersen and volanesorsen, is a forward-looking statement and should be considered an at-risk statement. Such statements are subject to certain risks and uncertainties, particularly those inherent in the process of discovering, developing and commercializing drugs that are safe and effective for use as human therapeutics and any endeavor of building a business around such drugs. Ionis’ forward-looking statements also involve assumptions that, if they never materialize or prove correct, could cause its results to differ materially from those expressed or implied by these forward-looking statements. Although Ionis’ forward-looking statements reflect the good-faith judgment of its management, these statements are based only on facts and factors currently known by Ionis. As a result, you’re cautioned not to rely on these forward-looking statements. These and other risks concerning Ionis’ programs are described in additional detail in Ionis’ annual report on Form 10-K for the year ended December 31, 2016, and the most recent quarterly filing which is on file with the SEC. Copies of these and other documents are available from the company. And now I’d like to turn the call over to Lynne.
Lynne Parshall: Thanks, Wade. We remain humbled by the stories of patients being helped by SPINRAZA. I’m excited to see the drug continuing to grow globally. The launch of SPINRAZA continues to go very well. Third quarter SPINRAZA sales of $271 million grew by 33% over the second quarter and again exceeded Wall Street consensus. With year-to-date sales of over $520 million, SPINRAZA is on track to be one of the most successful rare disease drug launches in history. Demand remains strong in the U.S. with Biogen reporting that number of patients on therapy grew by 75% in the third quarter compared to the second quarter. Importantly, Biogen reported that it received hundreds of start forms for patients who are not yet on therapy, further demonstrating the strong demand for SPINRAZA. Another important indication of growing demand is reflected in a number of centers administering SPINRAZA. Biogen reported that in the U.S., at the end of the third quarter, 180 sites had administered SPINRAZA, an increase from 145 sites at the end of the second quarter and that 250 sites have submitted start forms. To make this growing demand and help additional patients gain access to SPINRAZA, Biogen has said that it plans to double the size of its commercial team in the U.S. Outside the U.S., SPINRAZA sales were $73 million in the third quarter. Sales outside of the U.S. had been particularly strong, with first full quarter of the EU sales substantially higher than the first quarter of U.S. sales, in part due to the broad expanded access program Biogen is conducting globally, including in the EU. Biogen is now selling SPINRAZA in 11 countries plus Japan and on a named patient basis in the Middle East and Latin America. SPINRAZA was also recently approved in Brazil and Switzerland, and just recently, in Australia. At the World Muscle Society Congress last month, new analysis were presented from the ENDEAR study in infantile onset SMA and a NURTURE study in pre-symptomatic infants. These data provided additional confirmation of the significant benefit earlier in initiation of treatment, which SPINRAZA can have on measures of motor function in infants with SMA. This data, along with an interim analysis of the Phase 2 EMBRACE study, which is also presented at this congress, continue to contribute to a growing body of evidence demonstrating that SPINRAZA can make a meaningful difference in the lives of patients with SMA, regardless of their age or stage of disease. SPINRAZA continues to gain recognition in prestigious publications such as the New England Journal of Medicine and the Lancet. Additionally, late last month, SPINRAZA was awarded the prestigious Prix Galien USA award for the Best Biotechnology Product in 2017, which recognizes extraordinary achievement in scientific innovation that improves the state of human health. The Prix Galien is an influential event in our industry. It’s considered by many to be the industry’s equivalent of the Nobel Prize and the highest accolade for pharmaceutical research and development. We and Biogen were honored to be recognized by this distinguished panel and truly believe that SPINRAZA represents the very best of what our industry can achieve. Moving on to inotersen, Sarah will discuss this program in more detail in a moment but I’ll touch on it briefly. In the last month, we reported positive data from the Phase 3 NEURO-TTR study at the European ATTR amyloidosis and MAA meetings. In the Phase 3 NEURO-TTR study, inotersen-treated patients experienced significant benefit in their quality of life and measures of neurological disease compared to placebo-treated patients, and 50% of inotersen-treated patients improved in their quality of life measures from baseline. We believe that the benefits seen with inotersen in the NEURO-TTR study, combined with its superior convenience, could make inotersen the treatment of choice for this patient population. As Stan outlined, we have an extensive list of near-term objectives, and we’ve already made substantial progress in all of them. In addition, we’re well along in discussions to complete a commercial partnership, the plan to maximize the commercial potential of inotersen either through a partner, through commercialization ourselves or through combination of the two. We believe inotersen could be an important source of commercial revenue beginning next year, joining SPINRAZA and volanesorsen. To build on our successes with inotersen, we’re also expanding our ATTR franchise with our more potent and convenient IONIS-TTR-LRx. We’re implementing a streamlined clinical program for all patients with ATTR. Our goal is to advance IONIS-TTR-LRx into the clinic before the end of next year. Moving on to volanesorsen, Akcea recently submitted marketing authorization applications in the EU, U.S. and Canada for volanesorsen for the treatment of patients with FCS. We also believe volanesorsen could be an important source of commercial revenue beginning next year. Akcea’s continuing to build its global commercial organization with leadership on boarding key markets. Akcea’s also building support programs to help patients start and stay on therapy. These programs will include skilled experienced case managers to help with reimbursement as well as trained nursing professionals. We believe this model will promote long-term therapeutic use and compliance which should lead to optimal patient benefit from volanesorsen. We recently made an investment with Seventh Sense, which is developing a next-generation device to replace venipuncture simply and painlessly at home to measure CBCs including platelets. We believe this device should enhance the convenience of platelet monitoring for patients being treated with inotersen and volanesorsen. We’re working with Seventh Sense to make this device commercially available to our patients in 2019. This is one of several approaches we’re pursuing to make platelet monitoring more convenient for patients. We’re also advancing our mid-stage drugs. These drugs represent the next wave of potential commercial opportunities and have the potential to enter late-stage clinical development and progress towards the market over the next couple of years. Akcea’s pipeline of novel cardiometabolic drugs is moving forward on schedule. AKCEA-APO(a)-LRx is progressing well in its ongoing Phase 2 study in patients with high LPa with data planned in mid-2018. Akcea also recently reported positive data from Phase 1/2 study of AKCEA-APOCIII-LRx in which the drug demonstrated substantial dose-dependent reductions in triglycerides and APOCIII. Like other LICA drugs in development the greater potency observed should support less frequent dosing, enhancing patient convenience and compliance. Our LICA drugs have consistently demonstrated positive safety profiles with no finds of safety issues including platelet reductions. We believe this enhanced profile for AKCEA-APOCIII-LRx should support development for larger diseases with broader patient populations. Akcea plans to start a Phase 2 dose ranging study of AKCEA-APOCIII-LRx by the end of this year, with data planned in 2019. We and our partner, Roche, are encouraged by the progress we’re making with IONIS-HTTRx. IONIS-HTTRx is the first drug in clinical development to target the cause of Huntington’s disease by reducing the production of toxic mutant Huntington protein. We look forward to reporting data from the Phase 1/2 study of IONIS-HTTRx in early 2018. Before the end of the year, we also plan to begin an open label extension study for patients who participated in the Phase 1/2 study. Roche has the option to license IONIS-HTTRx, for which we’ll earn a $45 million license fee. Assuming licensing as Roche advances the drug, we could earn $285 million more in milestone payments plus royalties and sales. After the licensing, Roche will assume responsibility for all clinical regulatory and commercial activities for the drug. We recently announced promising data from IONIS-STAT3-2.5Rx, which is being developed by our partner, AstraZeneca, for the treatment of both head and neck cancer and diffuse large B cell lymphoma. At the ESMO conference, IONIS-STAT3-2.5Rx demonstrated a nearly 28% overall response rate in patients with head and neck cancer when administered in combination with AstraZeneca’s I/O drug, Imfinzi. The study is currently ongoing and enrolling an additional treatment group. First 3 quarters of 2017 were filled with important value-creating achievements, which has contributed to our strong financial position. We believe our technology pipeline and business strategy have enabled our transition to a multiproduct profitable company, delivering important medicines to patients with serious illnesses. So now I’d like to turn the call over to Sarah.
Sarah Boyce: Thank you, Lynne. Because we have spent a great deal of time discussing inotersen, I will be brief. We believe that inotersen has the potential to transform the lives of patients with hereditary ATTR, a devastating progressive and fatal disease. Our goal is to change both how hereditary ATTR is diagnosed and how it is treated with the launch of inotersen, which combines both potential benefit and a convenient once-weekly subcutaneous injection. Simply put, our extensive interaction with patients and physicians confirm that inotersen is likely to be the choice of many because the benefit and the potential freedom from the burden of the disease it provides. Because of the differences in the designs of clinical trials, direct comparisons are challenging between inotersen and patisiran. And we believe both drugs will be used, but we are optimistic that inotersen should command a significant share of the market. Known for quality of life [DN] with a primary endpoint in the NEURO-TTR study. Even though it was a shorter study, 60% of patients improved, which is virtually identical to the patients who improved in the Alnylam study. Looking at mNIS+7, almost 50% of patients in the NEURO-TTR study improved or stabilized in this measure. The combined benefits is not surprising given that the mean reduction in TTR in the NEURO-TTR study was 77% compared to the approximately 80% reported by Alnylam in their study of a longer duration. We don’t measure mean max because our reductions are sustainable and stable over time. Let’s look at the safety profile of inotersen, which now includes the results from the ongoing open-label extension study in addition to the NEURO-TTR study. The safety issues, we identified are straightforward to manage. The every two-week monitoring we are planning should take most patients no more than a few minutes, and for many, at their homes. Importantly, with inotersen, we have seen no long term or cumulative side effects after exposure for over four years. Inotersen does not require pretreatment steroids, so patients do not have the extra burden of the safety issue that may come with the chronic use of steroids. As a once-weekly single subcutaneous injection, self-administered at home or anywhere that is convenient for the patient, inotersen has the potential to provide patients greater control and freedom from this disease. We are making great progress in advancing inotersen to the market. Inotersen is now entered regulatory review in the U.S. and the EU for the treatment of a hereditary ATTR. The EMA recently granted accelerated assessment to inotersen, which may reduce the standard review time. We are also pleased to have the potential competitive advantage of filing before the last 2017 filing date for an accelerated assessment in the EU. In addition, we have initiated the process to open an inotersen expanded access program in the U.S. by the end of the year. We are also well along in our efforts to build a high-touch patient support program which will include disease education, home nursing support, self injection training and reimbursement assistance. In order to further simplify the process of monitoring, we recently announced our collaboration with Seventh Sense, which led us to [indiscernible]. We are excited to move this product forward to even further simplify our every-other-week monitoring protocol. Our goal is to fundamentally transform the lives of patients with hereditary ATTR. We believe we have the preferred treatment option with inotersen, the only drug that combines both the potential for efficacy and convenience. We are well underway in preparing for a successful launch, and inotersen is just the beginning of our journey in transforming this disease. And now I’d like to turn the call over to Beth.
Beth Hougen: Thank you, Sarah. Our successes have resulted in continued strong financial performance in the third quarter, marking the fifth consecutive quarter of pro forma operating and net income. We ended the first nine months of this year with pro forma operating income of $90 million and pro forma net income of $51 million. Importantly, we are on track to meet or potentially exceed our financial guidance of pro forma operating income in the mid-$50 million range and more than $950 million in cash. In the first nine months of 2017, we earned $60 million of commercial revenue from SPINRAZA royalties. We’re pleased with SPINRAZA’s launch results to date and the potential for continued growth in the U.S., EU and in other markets globally. The royalties we have earned so far this year are in addition to the nearly $470 million of SPINRAZA-related revenue we’ve generated to date from Biogen, including the $40 million milestone payment we earned in the third quarter for SPINRAZA pricing approval in Japan. Because we earn tiered royalties on SPINRAZA sales and sales of SPINRAZA grow, so will our portion of those sales. The nominal third-party royalties we pay are fixed, not tiered, and we have no other expenses associated with SPINRAZA. This means that as SPINRAZA sales grow, our profit margin on sales will increase and all that profit drops directly to our bottom line. We also earned R&D revenue of $270 million, a 60% increase over the same period last year. The largest component of our R&D revenue is license fees and milestone payments. Revenue from this component in the first nine months of this year was $176 million. In addition, our R&D revenue in the first nine months of 2017 included $86 million of revenue from the amortization of upfront payments compared to $46 million in 2016. The substantial increase is primarily due to the revenue we are amortizing from our Novartis collaboration. Our pro forma operating expenses for the first nine months of 2017 were $245 million compared to $217 million for the same period last year. This modest increase was due to increased commercialization expenses as we prepared to launch inotersen, and Akcea continues to prepare to launch volanesorsen next year, plus fees we owe under our SPINRAZA in licensing agreements. During the fourth quarter of 2017, we are projecting a continued increase in our SG&A expenses related to our and Akcea’s commercialization activities. Even with the increase in operating expenses for the fourth quarter, we remain on track to meet or potentially exceed our financial guidance. During the third quarter of 2017, we purchased a building that house our R&D and our manufacturing activities. We expect to realize significant savings by owning rather than leasing these facilities. The leases we have for these buildings contain predetermined purchase prices, which were substantially less than the market value of the property. When we purchased our R&D facility, accounting rules required us to recognize the noncash loss. This loss represents the difference between the financing liability we recorded when we initially constructed the building in 2011 and the purchase price we paid when we bought the building in July. In the first nine months of 2017, we received over $625 million in partner payments plus the proceeds from Akcea’s IPO to end the third quarter with more than $1 billion in cash. Now I’d like to take a few minutes to talk about our affiliate, Akcea, and the changes you’d see in our financial statements this quarter. With the IPO complete, we own about 70% of Akcea. The shares held by third parties represent an interest in Akcea’s equity that is not controlled by us. However, as we continue to maintain overall control of Akcea through our voting interest, accounting rules require us to consolidate Akcea’s financial statements with ours. This is no different now than Akcea’s public than it was when Akcea was private and wholly-owned. We’ll continue to book Akcea’s revenue and expenses on the appropriate lines of our P&L. Now that we own less than 100% of Akcea’s stock, we have adjusted our P&L so that our net income or loss reflects only that portion of Akcea’s net income or loss that we own. To do this, we have a new line on our P&L just above net income or loss called net loss attributable to non-controlling interest in Akcea Therapeutics. For the third quarter of 2017, the net loss attributable to non-controlling interest in Akcea was $3.9 million. We calculated this amount by taking Akcea’s net loss from the date of the IPO to the end of the third quarter of $12.4 million and multiplying it by the portion of Akcea we do not own, which today is about 30%. Similar to our P&L, we will continue to book Akcea’s assets and liabilities on the appropriate line on our balance sheet, and our consolidated balance sheet includes a new line called Noncontrolling Interests in Akcea Therapeutics in our equity section. We believe we have the key elements in place to achieve sustained, long-term financial growth. The continued success of SPINRAZA, coupled with the growing revenue stream from our partners and potential commercial revenue from volanesorsen and inotersen next year has enabled our transition to a multiproduct profitable company, delivering important medicines to patients with serious illnesses. And now I’ll turn the call back to Stan.
Dr. Stan Crooke: Thanks, Beth. We entered the last three months of 2017 in our strongest financial position ever, and we expect to meet or potentially exceed our financial guidance. As demonstrated by the key achievements we have reviewed during our call, we believe this evidence that the Ionis business strategies continue -- continuing to demonstrate its value. The objectives of the Ionis business strategy are to maximize long-term innovation, assure commercial success for our product and unlock shareholder value. We are recognizing significant commercial revenue from SPINRAZA royalty, and we plan to add commercial revenue from inotersen and volanesorsen in 2018. As the company matures, we retain greater control and keep a larger portion of the commercial value of our drugs. In doing so, we’re assuring the highest performance of both late development assets and our commercial activities. Success of Akcea is tangible evidence of the strength of our strategy and the value unlocked when one considers Akcea’s valuation. Let me take a moment to focus on our opportunities in the midterm, that is the next one to three years. We continue to advance our pipeline of nearly 40 drugs, and we anticipate that several drugs currently in mid-stage developmental will enter late-stage development, including Akcea’s three other drugs from our lipid franchise as well as our mid-stage drugs to treat cancer clotting disorders and neurological disorders. Major value of value in the midterm will be the advancement of our LICA drugs, first of which are GalNAc-conjugated drugs targeting liver. We’ve consistently seen ED50 doses of less than 5 milligrams a week with these drugs, which means that to reduce the target by 50%, we would use a dose of less than 5 milligrams a week. And of course, if we want to increase the amount of reduction, we can simply increase the dose. Or if we want to extend duration of treatment, we can simply give more drug less frequently. Generation 2.5 LICA drugs based on animal data, we expect to have an ED50 dose and it could be as low as 1 milligram a week or less, representing another important step forward for the technology. In clinical development, all of our LICA drugs have consistently demonstrated positive safety profiles with no signs of safety issues including platelet reductions. They have essentially no injection-related reactions and can be dosed monthly or less frequently at whatever level we like. We believe that our LICA is a true -- is truly a game-changing advance for many of our products. The creation of long-term value comes from advancing new innovative drugs in the development and progressing them to the market. We’ve consistently added 3 to 5 new drugs into development every year, and we both plan to continue this performance. We continue to make substantial advances in our technology to ensure that the next group of drugs going into the pipeline will be -- will have even better profiles than those today. And with that, I’ll turn the call over to Q&A. Andrea, if you could set us up for questions and answers.
Operator: [Operator Instructions] Our first question comes from Eric Schmidt of Cowen & Company.
Eric Schmidt: Congrats to Lynne on starting a new chapter and best of luck to Brett on the new role. I guess my question’s around the inotersen partnership discussions. Sounds like the talks are well along there. Maybe Stan or Sarah can just kind of address Ionis’ conviction that a partner is the right strategy for maximizing shareholder value given how late you are here in the development and regulatory process. And maybe specifically focus on how a partner could expand the pie? Like, what does partner bring in that you guys can’t really do yourselves?
Dr. Stan Crooke: Thanks, Eric. We are well along. And one of the things that we’ve done over the last few months is knowing that we have competition with patisiran. We’ve tried to take a very sober look at what we expect out of inotersen in the marketplace. And to do that, we’ve invested many hours of conversations with patients, investigators and probably as importantly, physicians who are not investigators but take care of these patients. We walk away from those conversations very confident that inotersen is going to take a quite significant portion of the market. We also believe that the market is a significant market. So armed with that, we have not significantly changed our expectation for -- from partnering and we are pleased with the level of interest we have. We have made great deal of progress in getting ready to commercialize. And so the opportunity then to optimize our partnership to take the most advantage of inotersen’s potential, I think, is very real. And so I think you can -- you could imagine any number of outcomes. One, we choose to market it entirely ourselves. We’re ready to do that and getting stronger every day; or two, we find a partnership in some part of the world that adds value and provides the added marketing strength that we think will help in identifying patients in the number of diverse physician communities and take care of them; or three, an even different kind of partnerships. We’re looking at all of those forms. We are measuring our progress in getting ready to launch, and we think we’re in possession of the information we need to make the best decision to assure success.
Operator: Our next question comes from Jim Birchenough of Wells Fargo Securities. Please go ahead.
Jim Birchenough: Let me add my congratulations to Lynne and Brad on your new roles. I’ve got three, really, and that would be on inotersen for Sarah perhaps. Maybe describe how you go about identifying target physicians given the broad categories of cardiology, neurology and hematology. Is there some way to kind of narrow the commercial focus? And then for Stan and Lynne, just on the collaboration with Biogen. Could you remind us where you’re at with that collaboration? What timelines might exist on the collaboration? And whether there’s an opportunity to expand it? And then maybe finally for Brett. Just on the LICA TTR. Is there an opportunity to develop that more rapidly? Given the validation of TTR reduction, do you think you’re going to need to do the full NEURO-TTR types of study? Or could that get approved on a surrogate like TTR reduction?
Sarah Boyce: Maybe I’d start with the first part of your question about identifying physicians. And as you say, like the three core fall into cardiology, hematology and neurology. From cardiology, we’re actually doing a process of both national advisory boards as well as regional within the U.S. There’s also certain claims database clues that we can do. Specifically looking at some diagnostic tests that gives us indications as to cardiologists who maybe seeing these patients. With regards to neurology, it’s more sort of the peripheral neuropathy specialists at the starting point. And with hematology, one of the logical places to look is the multiple myeloma experts who are often, by default, also the people treating AR amyloidosis and quite often, patients with ATTR are also referred to the hematologists. So it’s kind of three separate mechanisms to identify the level of each of these specialties. And we’re pretty far along with regards to building those customer lists and what that target audience looks like.
Dr. Stan Crooke: With regard to Biogen, I think the partners, both Biogen and we, are thrilled with the performance of the collaboration today. SPINRAZA, of course, is a wonderful success and it’s great privilege to be associated with that. The number of drugs in development that Biogen has from the collaboration makes the Ionis participation in their pipeline perhaps as important as any other component that they could have, and that continues to expand. And the range of diseases gets larger. Something that we haven’t really spent much time discussing is that we also have quite a number of neurological disease drugs for our own account, and that will continue to expand as well. We are highly positive about our relationship with Biogen and they are equally positive. So clearly, we want to continue to advance our SMA franchise with new and improved versions of SPINRAZA. And certainly, our expectation is this collaboration will continue and be successful and potentially expand.
Brett Monia: And Jim, regarding the TTR LICA. First off, we have great-looking drug that we’ve identified based on preclinical data. And as was mentioned, we’re moving this drug forward rapidly with high priority and expect to be in clinical testing next year. With respect to the speed at which we can develop it, absolutely, we do not expect to have to do this, a replication of what we do for NEURO-TTR. We’ve learned so much from that study that we believe that there are many opportunities to advance this drug forward to the finish line much more rapidly for treating all forms of TTR amyloidosis. And that includes the wild-type patient population, too. Regarding biomarkers, those are obviously on our radar. What we might be able to do, those will involve regulatory discussions, of course, when we need that type of feedback. But certainly, everything is on the table, and we’ve considered that type of strategy.
Dr. Stan Crooke: And just to add to what Brett said. Something that I think is very important is the performance of our GalNAc drugs has been highly consistent. We haven’t seen meaningful variations in potency from drug to drug, and all of them are giving us potencies in the 4 to 5 milligram per week range ID50. And we’ve had absolutely no adverse events of consequence in any of these trials. And so as we progress, and we now have 11 GalNAc drugs in development and most of them now are in clinical trials, and we have an ever greater number of patients being treated longer and longer with these drugs. We really have an extremely high level of confidence that these drugs are going to perform extremely well and give us all the profile enhancements that we hoped when we began the effort.
Operator: Our next question comes from Stephen Wiley of Stifel. Please go ahead.
Stephen Willey: My congrats as well to both Lynne and Brett on their new roles. Just a couple of questions on Huntington’s actually. So just wanted to confirm that this is going to be, the top line data announcement will be an Ionis-led communication, and then also kind of we’ve talked about the quantification of huntingtin protein reduction, the CSF, I’m also wondering if there’ll be an opportunity to also communicate and quantify reduction of wild-type huntingtin protein in the CSF? And just a point of clarification around the measurement of clinical outcomes, specifically TFC, is this something that will be measured at the end of dosing? Or will this be measured at the end of the follow-up period?
Dr. Stan Crooke: So first, we will be communicating about the Huntington’s program in the near future. And both Roche and Ionis are enthusiastic about the observations that we’ve made to date. Our primary focus is safety. Our secondary focus is HTT reduction, and we will probably provide a summary of all that and then much more detailed data at an upcoming scientific meeting. Huntington’s, of course, is quite different from SMA in that the symptoms are much more longer-lasting and the challenge of measuring them in short term is significantly higher, of course. So I would focus everyone on are we reducing Huntington’s and do we have safety and do we have any even soft preliminary indications of potential benefit? If we get any of that, that would be a bit of a surprise to me because of the nature of the disease. But certainly, we think we have an agent that is going -- has the potential to be an important advance in the treatment of Huntington’s. Lynne, do you want to add anything to that?
Stephen Willey: I understand. So you will be able to differentiate between reductions in both wild-type and mutant huntingtin protein?
Dr. Stan Crooke: Yes. Sure, although I don’t think it’s a terribly important question.
Stephen Willey: Okay. And maybe just one quick follow-up for Brett regarding the preclinical LICA TTR candidate. Is that the same ASO payload as inotersen? And if not, maybe just -- is it different on nucleotide length? Is it different on Gen 2.5 versus Gen 2.0? Just curious if there’s any differentiating features there beyond LICA?
Brett Monia: Gen 2.0 molecule, and it’s not the exact chemistry, inotersen but it’s very similar.
Dr. Stan Crooke: Well, the sequence is the same. And you may be asking questions that relate to chemistries and siRNAs versus ASOs. The chemistries that we report -- of course, we define the chemicals very clearly and the basic chemistry is not significantly different in any way. With siRNAs, there’s a great deal of variation in what various companies are putting into those molecules, whether there -- how many 2-prime methoxys, how many 2-prime 4-Os, what other sorts of modifications are in there. They seem to vary a lot from drug to drug, depending on a lot of factors, but it seems to us at least most importantly, the sort of side effects that are seen in short-term clinical trials.
Operator: Our next question comes from David Lebowitz of Morgan Stanley.
David Lebowitz: I’m curious what are the -- what’s the status of the launch preparations for volanesorsen? And how are the efforts going in identifying patients for that?
Lynne Parshall: So Akcea is well along in building both our U.S. and their European commercial structures, and they have teams in all of the key markets in Europe already. They have been, actually, for quite some long time, doing work in a variety of ways to identify patients and they have a substantial database of patients already identified. They’ve been using a number of strategies, obviously being very involved in the medical community as the physicians were treating these patients as well as a number of database searches that made major medical facilities. And what they’re finding, which isn’t very surprising with a disease like this, is that if you go and ask a physician, do you of these patients? They may say, I have one. I might have two. And then they go work with a direct the database search with a physician using the diagnostic criteria and find that, of course, there are quite a substantial number more. So they have, as I said, a variety of different initiatives underway, which are all being very productive and are right on track with their database in terms of patient identification in the U.S. as well as ex-U. S.
Dr. Stan Crooke: To my mind, some key steps that they’ve taken that are -- I think are tremendously important that we haven’t probably emphasized quite enough is, first, I think they’ve done a great deal to galvanize the FCS community. And today, we have a much more active FCS community that’s engaged in much more aggressive self identification of signs and symptoms. Second, we’ve engaged in a very active educational program from regulators. And I think what we know today and what we see out of the regulators is a much better sense of how severe this disease is and how desperately it needs treatment. And third, the patient survey that was done was really instructive to all of us. It demonstrated that the symptoms associated with the disease are much more day-to-day and much more telling and far more aggressive than what’s really understood by us or the community. And then fourth, the natural history study of Dr. Gaudet, which is an important benchmark, should be published here before very long. Now all of those things, I think, contribute to a very substantial increase in disease awareness. And as with any rare disease, particularly when there is only 1 drug and only 1 choice, and that’s called volanesorsen, I think we recognize, and Paul and team are doing a good job of it, that one of the key elements is to actually build the market, to build the awareness, to get those patients identified. I think they’ve done, just as Sarah has, identify the key physicians who are sort of the catchment physicians for these patients or as with neurologists or surgeons and a variety of other people. So my sense is that in addition to all the progress they made in building the organization, there’s been really tangible progress in defining the disease, the patients, the physicians and educating about it that I think is going to tell in the commercial success of volanesorsen. We’re extremely pleased with the work that Akcea has done and also very pleased with the growth in recognition of the severity of the disease. It was rather remarkable to us when we began that even physicians who took care of these patients extensively did not understand how bad the circumstance for these patients was. So we think we’re far along compared to where we were a few months ago.
Operator: Our next question comes from Jessica Fye of JP Morgan.
Jessica Fye: I’m curious how you think about the potential to get the cardiac data from NEURO-TTR on the inotersen label? And also how you’re thinking about potential reimbursements for cardiomyopathy patients? And then I just want to make sure I understood one of the comments you made earlier referencing, I think, potentially faster path forward for wild-type cardiomyopathy patients. How should we think about future clinical studies to extend the label into cardiomyopathy?
Lynne Parshall: In terms of your -- the first two questions, Jess, we obviously are pleased with the cardiac data that we have. And our goal was to get all of that data into the label. And in terms of reimbursements, really interesting because we think about this disease as being polyneuropathy and cardiomyopathy but in fact, it’s a continuum. And when you talk to physicians who have cardiomyopathy, patients who they call cardiomyopathy patients, they will say many of them have polyneuropathy symptoms. And as we saw in our study, of course with the polyneuropathy patients, over half of them had cardiac involvement with their disease. And so I think that reimbursement is not going to be difficult because these patients will have -- of course, it’s going to be dependent on the label, but even if the label were to be limited to polyneuropathy, as I said, most of the cardiomyopathy patients have some polyneuropathy involvement. And I’ll let Brett talk about the development path forward to the LICA.
Brett Monia: Just to clarify, the biomarker work that I referred to earlier, I believe, would be limited to the civilian disaster patient population we studied. I think it would be less likely we’ll be able to use a biomarker for the wild placements we have not studied in that patient population in a randomized controlled study to date. Of course, we’ll look in several options in that patient population. What I was really referring to was this patient population we studied, which was a hereditary form.
Dr. Stan Crooke: And I guess, the final comment is, while I think there’s plenty -- I think we’ll be fairly straightforward to access patients with cardiomyopathy, I do think, long term, this great value in outcome work that demonstrates, really demonstrates, advantages. So we continue to be interested in long-term pursuit of outcome studies with the LICA in particular.
Jessica Fye: And just follow up on that comment about the FAC patients having polyneuropathy as well. Does that apply to the wild-type cardiomyopathy patients? Do they also have polyneuropathy?
Dr. Stan Crooke: Not nearly so much, no. They typically are, as you know, older and they typically have primarily cardiac involvement. It’s a somewhat different circumstance.
Operator: Our next question comes from Paul Matteis of Leerink Partners. Please go ahead.
Paul Matteis: I just have a couple on Huntington’s. My first question is can you just kind of -- be curious to your opinion on what magnitude of HTT knockdown in the CSF would be -- would represent, say, a great outcome, just a good or okay outcome and a not so great outcome? And then secondarily, I’m wondering when you look at HTT changes in the CSF, how important is it to you to understand where actual knockdown is occurring in the brain, be it either the back of the brain or the cortex or the frontal lobe?
Dr. Stan Crooke: Well, what we hope to see is just dose-dependent reduction. I think if we get dose-dependent reduction, we have everything we need because we know we have great safety and so we can always just dose and get the level of reduction that we hope for. I guess, the better answer to the question is that heterozygotes are normal. And so at least in animal studies, anywhere from 30% to 50% of reduction, if I remember correctly, and I have to double check with Frank on that, but if I remember correctly, were beneficial. We certainly hope to get greater than that. And I think quite important to know that you’re getting reductions in the areas of the motor cortex and other areas where the disease manifests itself. And so, we’ve invested a great deal of effort, both with Biogen and with our colleagues at Roche to really understand after an intrathecal injection where our drugs are accumulating. And we’re quite encouraged by all the data we’ve seen because we see substantial drug activity, not just drug concentration but activity across the board in the neurological pipeline in almost all regions of the brain and the spinal column. And of course, it’s those data that supported that moving into much broader range of diseases than something like SMA that’s led us into Parkinson’s and Huntington’s and Alzheimer’s and a wide range of other diseases. We think that we have access to almost all the areas of the brain and spinal cord that we need to treat most of the significant central nervous system diseases. We’re very excited about it as is Biogen and as is Roche.
Paul Matteis: Okay. And then what, if you were to rank clinical endpoints in terms of importance, what’s most interesting to you either in this study or for a future pivotal trial?
Dr. Stan Crooke: David, I would like to defer that because I don’t feel I know enough about Huntington’s disease -- or Paul, sorry, forgive me. You can call me George if you like. I’m just learning more about the clinical signs and symptoms of Huntington’s, and I’d rather wait until we have some real experts on the call to deal with that, and that’s going to happen pretty soon.
Operator: Our next question comes from Gena Wang of Barclays. Please go ahead.
Gena Wang: So I have two on inotersen and then a one quick one on Huntington program. So regarding pricing, so I’m pretty sure you’re already talking to a lot of peers on reimbursement. So given the data, we all saw like a very impressive data and also on the medical need, like what would be a good benchmark that you can guided us to think about the inotersen pricing?
Dr. Stan Crooke: Well, my preference is not to answer that question today. We are in the process of doing all that work and we have a competitor. I have noticed and noted with interest that Alnylam has sort of signaled Soliris-type prices, if I understood it correctly, but we’re not prepared to do that today.
Gena Wang: Okay. And then another question is about the patient identification. So can you just remind us what would be the number of patient you think it will be, addressable patient population for inotersen? And then how many patients have you already identified?
Sarah Boyce: Yes. So if you look at the epidemiology that’s available today, so the consensus, about 10,000 patients with the polyneuropathy form of the disease and about 40,000 with the cardiomyopathy form. In both cases, I’m talking about hereditary. Now one of the keys to this is that I think when that data was put together and when we started the data, we thought this event was two different diseases when in fact, it’s not. And there’s a very high level of overlap that Lynne alluded to so the patient population available, we believe, to be much larger than just the polyneuropathy form of the disease from a traditional perspective because the cardiomyopathy patients, guess what, it’s the same disease and they have polyneuropathy. In terms of patient numbers and patient numbers that we have identified, obviously, this is a competitive program, so we’re not going to give details around that. But suffice to say, we are very far along in our KOL and physician mapping as well as our patient journey mapping. So we have, we believe, a pretty good idea as to how people move through the system, the pains along the diagnostic journey and where those intervention points are as well as building on CRM system. And we’re also in the process of deploying our MSL team as well, which will really accelerate that program.
Dr. Stan Crooke: I think there’s a lot of benefit to be had because there’s Pfizer and there will be Alnylam and Ionis. And I think that will substantially enhance the identification of patients for all of the participants in that market, which will be a great thing for patients.
Gena Wang: Great. And then just one very quick question on huntingtin. Could you just remind us the mechanisms in terms of targets? Do you target specifically mutant Leus in a huntingtin protein? Or target also wild type as well?
Dr. Stan Crooke: No, we target both. We have the ability to target the mutant. But as we look at the entire disease and characteristics of the disease, we concluded it’s a little bit like amyloidosis in that the mutant, of course, produces inclusions and cell and so on and then that accumulates all kinds of huntingtin and other stuff. So we had -- it was one of the interesting choices. Do we focus on simply the mutant or the total? We looked. We believe there’s no reason to be meaningfully concerned about the safety of reducing all of Huntington’s. And so our choice was to reduce all the potential causes of continuing the disease process. We have time for one more question and then we’ll have to go.
Operator: Our next question is from Yale Jen of Laidlaw & Company.
Yale Jen: First of all, my congrats to Lynne and Brett. And just two questions here. The first one, again, for inotersen that I know you guys are active in preparing the market. At the same time, you, I think, also in partners -- partnering. And given the timeline probably by mid-next year, the drug can get approved. So how’s the mentality or thoughts you guys have right now as how you hand it out to a partner, is that the case? And before that, are you just guys just full force to prepare it for -- there’s only -- you’re going to market it by yourself?
Dr. Stan Crooke: I think the most important thing we’re looking at, I-Eh, is what is the company that we might choose ready to contribute immediately to launch? Do they have the infrastructure, the field force, the experience to aid us in one of the markets in terms of launching the drug? And so our calculus here is what should we do to maximize our penetration in this market and maximize our competitive edge? And our focus is principally on what resources can they bring immediately to bear to make that launch successful. We have a number of choices. Obviously, we also look at the dollars that they’re prepared to invest in us in getting the drug in, but more importantly, what is going to be their investment going forward in the marketplace? And in the meantime, we’re well along the way to being ready to launch ourselves. And as that progresses obviously, our threshold for taking a partner on becomes higher.
Yale Jen: That’s very helpful. And my last question here is that, allowing that there’s -- recognize that the LICA will be probably a very important element for you guys going forward, could you just highlight maybe by -- let’s say, by end of 2018, how many sort of more clinical advanced LICA drugs maybe on your pipeline so people have a better sense on that?
Dr. Stan Crooke: Thank you. I don’t have the specific numbers in my head but just offhand, we will have completed Phase 2 studies on substantially more than 6 or -- I would guess 5 to 8 GalNAc LICAs by the end of 2018 and maybe more. We should have, I think, 10 or 11 in clinical development by then and maybe more. I think that’s about right. Would you say, Brett?
Brett Monia: Yes, I’d say so.
Lynne Parshall: And then two very important and large studies are the APO-A and APOCIII-LRx Phase 2b dose ranging studies and I’m sure that will be multiple hundreds of patients.
Dr. Stan Crooke: And both the APO-A and C is actually well along, and we already have a substantial longer term data in that study and if, like, every other GalNAc like in our pipeline is performing impeccably. And we’ll be trying to share our experience there as it progresses and then we’ll try to summarize our overall experience for you at some point next year. With that, we’ll bring the Q&A to an end. I’d like to thank everyone for their interest. We’re tremendously excited about the position we have and look forward to next year being a year in which we have commercial revenue from SPINRAZA, which will be increasing commercial revenue from volanesorsen, commercial revenue from inotersen. Our partnering strategy delivering -- continue to delivering great value, Akcea being successful and progress in Inotersen, helping people to understand it’s going to be a very successful competitor in the marketplace.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.